Operator: Ladies and gentlemen, thank you for standing by and welcome to the Q1 2013 SouFun Earnings conference call. At this time, all participants are in a listen-only mode. There will be a presentation followed by a question and answer session. (Operator Instructions). I must advise you that this conference is being recorded today, Wednesday 8 May 2013. I would now like to turn the conference over to Mr. Zhao. Thank you, please go ahead.
Hong Zhao: Thank you, operator. Hello everyone and welcome to SouFun's first quarter 2013 Earnings conference call. I am Hong Zhao; I'm the Vice President of Finance. Joining me today are SouFun's Executive Chairman, Mr. Vincent Mo and our CFO Ms. Guan Lan. This conference call is being broadcasted on the internet and is available through our IR website at ir.soufun.com together with our earnings release. I hope you all get a chance to read through our earnings release. But before we carry on, I would like to remind you that during the course of this conference call we may make forward-looking statements, statements that are not historical facts, including statements about our beliefs and expectations. Forward-looking statements involving inherent risks and uncertainty. A number of important factors could cause actual results to differ materially from those contained in our forward-looking statements. SouFun assumes no obligation to update our forward-looking statements in this conference call or elsewhere. Potential risks and uncertainties include, but not limited to those outlined in our public filings with the SEC that are included in our Form 20-F. Our earnings press release and this call includes discussions certain unaudited non-GAAP financial measures. Our press release contained a reconciliation of unaudited non-GAAP measures to unaudited most directly comparable GAAP measures, it's also available in our IR website. We will have a brief Q&A session after the prepared remarks and we are very happy to report another strong quarter and a great way to start the year. Our focus on growing our business enabled us to capture market opportunities as they rise and achieve very strong top line growth once again. Investing more into our business will support our growth into the future and create value for our shareholder in the long run. Now the numbers. Revenue, our total revenues grew to $91 million in the first quarter of 2013 representing almost a 56% increase compared to a year ago. The predominant growth driver or actually in our Ecommerce service as well as our leasing services but let me go through the different categories with you first. Revenue from marketing services totaled $35.8 million for the first quarter representing a 4.6% growth from prior year primarily driven by the increase in a number of advertisers during the quarter. Revenue from e-commerce services was $26.4 million for the first quarter of 2013, representing almost 119% increase from a year ago. This increase was primarily due to the increase in property purchases through our SouFun membership services as we expand our program into other cities. Revenue from listing services was $26.8 million for the first quarter, an increase of 145.4% from a year ago that’s primarily due to the increase in property listings from our agency subscribers. The increase in listings subscribers was partially driven by the announcement of certain housing-related government policies in the first quarter which significant increase in secondary home market transaction volume. Revenue from other value-added services was $2 million for the quarter, an increase about 60% from a year ago primarily driven by our database sales. As far as cost, as you know, cost so far usually grow little bit slower than our top line growth primarily due to our very focus cost control. Cost of revenue totaled about $20 million for the first quarter. This is an increase of 21.2%. The increase in cost of revenue primarily was driven by the increase in staff costs, business tax, value-added taxes as well as other surcharges. As a result of the cost control and measure headcount increased, our gross margin improved slightly from almost 72% to about 78% for this quarter. Operating expenses, our operating expenses comprised of selling in general and administrative expenses. Selling expense totaled 18.7 million for the first quarter an increase of almost 30% from a year ago primarily driven by increased staff cost as well as advertising and promotional expenses. General and administrative expenses increased 13.2% to 15.1 million for the quarter that’s also primarily due to increase of staff cost and to a lesser extent an increasing allowance for doubtful accounts. Operating income totaled 37.2 million for the quarter an increase of almost 162% for the year that is primarily driven by the top line growth and also effective cost control. Moving onto income tax expenses our income tax expense totaled 11.6 million this is a substantial increase compared to a year ago the increase was primarily driven by a 5 million incremental tax expenses due to our revenue growth and a 3.1 million accrual of dividend-related withholding tax in the first quarter of 2013 while we had none in the first quarter of 2012. As well as a 1.6 million one-time tax benefit that we had in the prior quarter we did not have for this quarter. Net income attributable to SouFun Holdings was 28.4 million for the first quarter an increase of almost 96% from a year ago. Fully diluted earnings, was 30% for the first quarter, an increase of almost 89% from a year ago. We introduced a new measure this quarter to better reflect our business actually it is called non-GAAP EBITDA, we define it as non-GAAP net income before income taxes interest expenses interest income depreciation and amortization we have actually provided a reconciliation in the back of the earnings release as you can find on the IR website. Our non-GAAP EBITDA totaled almost 41 million for the first quarter representing a 134% increase compared to a year ago. Moving onto cash, as of the quarter end March 31, 2013 SouFun had cash and cash equivalents and short term investments of approximately 204 million compared to 143.6 million a year ago as of the year end. Cash flow from operating activities totaled almost $60 million in the first quarter which represents a 127% increase from a year ago. Given that we had a really strong quarter SouFun raised the total revenue guidance for the year 2013 from between 516 million to 527 million to between 527 million to 538 million that essentially a year-over-year increase between 22.5 to 25% as compared to a 20% to 22.5% range that we've given out earlier as of the Q4 earnings release. We're very confident about this guidance despite uncertainties in China's property market. However, this forecast reflects SouFun's current and preliminary view which is subject to change. Our total headcount as of March 31 was approximately 7700 as compared to 7800 as of the year end. So in business, you know all the financial numbers and some of the quick headline numbers that we were given and I would like to take this time to thank you all for getting through all the numbers. And now we'll open the call for further questions. And Operator please go ahead.
Operator: Thank you, we will now begin the question and answer session, (Operator Instructions). Our first question comes from the line of Alex Yao of Deutsche Bank, please go ahead.
Alex Yao - Deutsche Bank: Congratulations on a very strong quarter. I have a couple of questions, number one is can you share with us how you guys think about the revenue growth outlook across the three major business units in the rest of the year given the current regulatory environment, thank you.
Vincent Mo: Alex, this is Vincent here and thank you for the question, while going forward I think for the rest of the year three segments will keep it counted momentum or chained for the rest of the year. Advertising or the marketing services we expect is going to continue it’s in a positive growth rate, although we do not expect is going to be substantially higher than current level, I think it will be somewhere around 10% or something or that will be more comfortable to say, the listing services it's still very strong, you know for up to April. So, I think we will expect the whole year lists and services to be in a; how's the double digit growth throughout the year; the rest of the year. In E-commerce business or in our membership services, according to what we have; the contracts we find is going to continue its gross; I think how's the double digit grows for the rest of the year. So that will be the general prediction of these three segments.
Alex Yao - Deutsche Bank: Can you share with us what percentage of E-commerce revenue in the quarter was from tier one cities and what is your plan to ramp up these different units in lower capacities for the rest of the year?
Vincent Mo: The E-commerce business in tier one city which means The Beijing, The Shanghai which contributed in a 57% to de throne the E-commerce business. The other cities contributed about 43% up to the end of quarter one. 
Alex Yao - Deutsche Bank: And do you have a plan to roll out this business more aggressively in the lower tier cities in 2013?
Vincent Mo: Definitely yes; we just had our internal business meeting and decided to expand it to more cities. I think we are now in about 15 cities but although the major cities are still contributing the lowest but we do want to expand this practice into more cities. This said we need an internal training for our people to execute; the E-commerce business fundamentally is a good moderate thing up to today. But the execution is something new for our people; our local people so we need to do more training, we need to train more people who can execute the E-commerce business in more cities. 
Alex Yao - Deutsche Bank: Got it and given the positive revenue trend, would you expect to accelerate to the headcount expansion in Q2 and Q3? Thanks you.
Vincent Mo: Yes, actually, it’s the overall expansion of this company. We see revenue growing at a healthy rate. We definitely will take advantage of the current momentum to keep our expansion in a going arm and one of the things we need to is to hire more qualified people to keep up, trying to support the expansion. We do have a plan to hire more people this year.
Operator: Our next question comes from the line of Fei Fang from Goldman Sachs. Please go ahead.
Fei Fang - Goldman Sachs: My first question is on investment, mentioned on the press release that you will continue to invest in people, technology, and local city infrastructure. Can you elaborate a little bit more on the future investment both of the margins side as well as on the CapEx side? That will be great, thank you.
Vincent Mo : Fei you got me because frankly we’re drafting our 10 year regionally in a plan. We have not done that yet. Investment is definitely something we’re going to continue to do to invest into our people, training more people and to make sure they can carry on the business, carry on the expansion of the SouFun and also we’re going to invest into technology, server platform, mobile in a technology as well to make sure we can keep pace with the development of the industry in IT or internal industry as well as other new initiatives. Local cities that our channel when we’re going to build up solid local channel throughout our 100 cities, so that’s we think very-very important for the longer future of this company. We’re still in the starting point to lay out our fundamental throughout the 100 cities we have people in now, so we believe that we’re going to invest you know as we did in the past and we’re going to invest more comparing to what we did in the past to make sure we can keep this company growing into coming 5 to 10 years but frankly I do not have exact breakdown how much money we are going to invest into this strategy yet.
Fei Fang - Goldman Sachs: My second question is on the property market how is the property industry. I know that property industry has been trending in 2013 year-to-date on a nationwide basis and what will be the outlook for the rest of the year based on your current visibility? Thanks.
Vincent Mo : The market in China’s property market has always being in question in the past five years; people from around the world especially west, the people from western countries they have been questioning the healthiness of Chinese property market I think China’s property market does have problems and it develops too fast in the price increase to too fast in the past five years so that is why the central government has been very tough on regulating this industry it is greater in the past 2.5 years the new policies has been there and it is still there trying to core the property market because the price increased too much which has been causing social stability in China that said China’s property market is still I think in a healthy condition especially after two past years regulation and currently the transaction volume is there it is back since mid-year last year and the price has been keep on going up but in a controllable scale it is not a increasing that rapidly like it did two years ago. So at this stage I think the market is somewhat balanced transaction volume is there like I said and price is going up but in a reasonable scale so the government is satisfied with that and bio service they are satisfied with that, so I would expect this market situation is going to continue for the rest of the year I believe. And in the longer run I am kind of optimistic guy with China’s property market as long as China’s general economy keeps moving on stably above 6% or even 5% and with that there and China’s organization will continue definitely so that is going to create a huge demand for all kinds of properties residential office retail and entertainment as well. So in comparing to other Chinese traditional industry it's always let’s say in China's property market or China's real estate industry will still be a good industry in the coming 10 to 15 years.
Operator: Thank you. And next there's a follow up question from Alex Yao of Deutsche Bank, please go ahead.
Alex Yao - Deutsche Bank: Hi Vincent, so you mentioned you guys are drafting a 10-year plan, I understand it's not finalized yet but can you share with us the initial thought on how you envision the company will be in 10 years’ time? Thank you very much.
Vincent Mo: Alex, I am still in the process I will let you know when I have it done, but you know the 10-year plan, it's directing it's for how we are going to support the expansion, the continuous expansion or growth of this company in the coming 5 to 10 years, so that way it is a direction, we're going to make the company operations you know as transparent as we could be and tell people whatever we could at this stage over the coming 5 to 10 years, like we hinted, we're going to invest into our people, technology and our local city channels so on and so, I will let you know more in detail when we closer to have it done.
Alex Yao - Deutsche Bank : And also you guys have a lot of cash and has a very strong cash generation ability from operations can you share with us the plan for use of cash? Thank you.
Vincent Mo : As I always said before and it's still our strategy, we're going to use the cash to expand our business first. That's a first priority, to makes sure we've going to have a healthy growth both (inaudible) into a longer period of time not 1 year 2 years, but 5 to 10 years so that's definitely the first priority we're going to use our cash. And after that we definitely will have some safe money for the company, we need to have that reservation like 150 million in our pockets. After these two things if we foresee future or more cash in as usual, and if we foresee there is no big demand or big use of cash into the near future we may dividend out to our shareholders. 
Operator: And your next question comes from the line of Ravi Sarathy from Citibank. Please go ahead.
Ravi Sarathy - Citibank: You've actually answered a couple of the questions that I had so; I got a couple of remaining questions if I may. First of all, clear some strength in the listing services; you mentioned that was driven partly by some of the policy changes at the beginning of the year which resulted in an ignition in secondary transaction activity in the property market. I was wondering if you could give any color around what happened there and how much of that should continue to carry through; obviously being engaged to your listing services revenue through the rest of the year.  My second question is around margins. Clearly Q1 has traditionally been a very low margin seasonally business but of course you not in the cover of the board on margins here with a 41% operating profit margin. Vincent, you have always said that you managed the business in the growth around a 35% roughly targeted margin and that will guide your embedment and the amount that you drive into R&D et cetera. I was wondering what you would feel was on that for the full year given those dramatic strengths in the third quarter.
Hong Zhao: I would take that question first; I think you mentioned that despite basically we are saying in the transaction volume; but that impact and mostly on our listing services. However, when we look at the underlined data, the actual policy drive in sort of the intersect end of February and March; we really don’t see that been the most significant driver because when we look at the underlined business; I think the overall through the usage by our agency subscribers actually increased significantly; I guess year-over-year but we do see a spike; that's kind of a; maybe 20% above so we say normalized quarter numbers in March, which signifies the impact of probably the Government policies that they have on the market. Now moving on to the third quarter, I think in April, we do see the transaction volume throughout quite a bit in Beijing and in Shanghai; this is widely published numbers, something we were talking about almost 80% decrease in the secondary home market and then in terms of transaction volume. However, we haven’t as Vincent mentioned earlier, we really haven’t seen any significant impact that sort of transcended into our listing service revenue, we’re still seeing a relatively healthy growth in that regard, so it’s kind of wrap it up. I think the base line is we’re not really seeing a significant impact of this sort of policy in the second quarter on our listing services business, and overall we should still be able achieve a very healthy growth rate in the second quarter. And I’m going to the margin, I think you’ve mentioned that we’re out of 41% operating margin, and yes I mean the guidance given continue to stay at 35% non-GAAP net margin which is our net income. I think in the foreseeable future in this year and in the next couple of years, we’re not really seeing any change to that. I think we’re managing our business to that, that’s definitely our goal so despite our fast growing top line, I think we’re not going to see a dramatic increase in our cost, as mentioned very keen on cost control measures.
Vincent Mo : Yes, Ravi, its Vincent, and following home expansion in about the margin usually quarter one was a low margin quarter for so where we have the best margin in quarter four, but this quarter in the past quarter one, I think we had much better margin that we expected, so with respected the overall the whole year’s margin in 35% net profit margin is still our target where the company managed to achieve that 35% in net profit margin and with that in hand we’re going to invest or expand or spend the all money more aggressively.
Ravi Sarathy - Citibank: Thank you very much Vincent Mo, you know, very helpful indeed. Congratulations again on a fabulous result.
Operator: Thank you and our next question comes from the line of the Chao Wang from Merrill Lynch. Please go head.
Chao Wang - Merrill Lynch: Hi, good evening, thanks for taking my question. Firstly, I just noticed that in tier one cities it seems it’s quite easy for developers to sell the new home, so (inaudible) spend more about the question now, why development continued to use SouFun product quite aggressively? Thank you. 
Vincent Mo: That’s a good question. I think SouFun card business or we call it SouFun e-commerce business, it is a comparatively new thing although it has been there for about two years, I have always saying that it’s still not mature there, it’s still in the early development stage although the contribution from e-commerce has been above 20%, in big cities like Beijing and Shanghai which we have been practicing e-commerce more maturely and which has been contributing more than 50% to our total e-commerce revenue. But with that in hand, we accumulated more experiences and based on that so we can expand it to more cities, more major cities in China and at the same time we can also keep our expansion in the major cities, in the tier 1 cities, Beijing and Shanghai. So we are still continued to see the expansion and the gross, continued growth of our e-commerce business in both the tier 1 cities and also the tier 2 cities going forward.
Chao Wang - Merrill Lynch: I have a second question, I wonder if management could give more color about the Sanya property transaction are accused by the Glaucus Research but it seems all the evidence in the report about the transaction of the investment holding company instead of the Sanya hotel itself. So wondering if (inaudible) to clarify about the related value transaction of acquisition of these specific building.
Vincent Mo : There is a short sale that we have been doing some research and so far they have published some of their reports in the past one month and which frankly cost our attention to deal with the report, we responded in three times to in their report including the Sanya project as we explain it in our explanation and we disclose everything in the past and in our IPO so and so, so other than that I don’t have new things to add to that issue.
Chao Wang - Merrill Lynch: Okay got it.
Operator: And our next question comes from the line of (inaudible) Capital please go ahead.
Unidentified Analyst: I have a couple of questions. One is related to your Q1 performance so from, in our research in a discovery point of view I do think that some of the business actually we can say it is because the policy triggered some kind of abnormal in the purchase activity so we can say some purchase ahead of time kind of happens so that contribute to some of your Q1 better performance just want to confirm that that is number one. Number two is there are two things why is the nationwide property data base system so when do you think this system can be put in place and up running and the second one is there are still calling for property tax not to the second half sterling tax but rather the carrying cost of the property tax so do you think this property tax will be put in place any time soon?
Vincent Mo : SouFun has experienced multiple cycles in the past multiple years Chinese government has been regulating this property market continuously in the past almost 10 years that is why sometimes we call China’s property market as government market but with all the cycles in the past including the most recent one whether it is good or it is bad SouFun has managed to increase or to grow its business continuously throughout all the cycles including the most recent 2.5 years regulations so SouFun’s business model it is tested and proved and it is very resonant to the market fluctuation and reasons behind that mainly two, one is that Internet penetration and mobile penetration the new one all well into the traditional property market it is not mature yet it is still in its early stage and we in this increase in penetration it is definitely positive to us irrespective of the market fluctuation. On the other hand, during the regulation stage whether it’s good or bad our clients they, we always try to get better or more profit in the movement of the market actually SouFun’s products and services are in a better and a bigger demand from our clients so that they can, occurrence can keep their gross going on facing fluctuating market situations. So that’s mainly the reasons behind our continuous good performance in the past whether the market is very good, it’s good or something not that good. With respect to your second question and China’s property market as I said it’s, and they have a regulation in the past 10 years including property tax, including the recording of each you know appointment to house owner properties, I believe those majors would be good to Chinese property in the longer run. Everybody knows that the China’s property market is not that mature, it’s only about 20 years past. So I think property tax eventually definitely to happen in China but I do not think it’s going to happen in the short period of time, it’s going to take 5 to 10 years to have the tax system, property tax system established in China. With respect to data base thing, I think the government issued open to database to make it a more transparent to the public. In doing that the government is improving that so I believe in the coming five years, the transaction data base will be available to the public I think that would be good to us to SouFun in the longer run. So back to both of your questions, we experienced all of this, China’s market situation, government regulation and policies, we know how to deal with that and that’s why we have been keeping and growing the business irrespective of the market fluctuation and we believe we can still keep our, the situation or the growth going on with China’s property market involvement.
Unidentified Analyst: Okay so that’s helpful and Vincent just one thing it’s not exactly the earning related and regarding your building on Wall Street because that’s my neighborhood, it’s kind of very quiet, so maybe you can put in usage to earn some money. Vincent Mo You are right the Wall Street building; it's for the longer training purpose of this company and as you probably know it was owned by AIG formerly, for AIG's global training purpose. We are in architecture design state to make sure we can have the property ready for our overall use in about two years. So now we're just possibly using the entry space with the ground floor.
Operator: (Operator Instructions). Our next question comes from the line of Gregory Joe from Citigroup, please go ahead.
Gregory Joe - Citigroup: Hello Vincent, hello Hong, congratulations on the strong quarter, I have three questions, my first question is still about SouFun current, I want to compare to Q4 last year in Q1 this year have you the seen the coupon acrd had gotten deeper penetration into the new property market, after I think in booming I think underlying the property market performed very good in the past quarter. So I think in the booming market, maybe it will affect the sales of our SouFun card? I have another two questions.
Vincent Mo : Great, given, I guess to answer your first question, given that the market has grown over the year and it's, and have we actually had increase in terms of penetration, that wasn’t actually in the tier 1, tier 2 cities we actually remain relatively stable at about 10% but the underlying transaction volume also increased in the same time year-over-year. So that actually continued to drive our business. Now in the second tier cities or the third tier cities where we start to do business with, we definitely see the penetration increasing, so that's the trend that we're seeing as a result of our expansion in the cell phone card business. Does that pretty much answer your question or you still have? 
Gregory Joe - Citigroup: Thanks, and my second question is about the traffic through your website, in the tier 1 cities especially Shanghai and Beijing do you think the (inaudible) traffic is getting saturated and we have observed the growth of the (inaudible) traffic and it might already be slowing down and what’s the outlook for the whole company of the traffic in the whole year. Thanks.
Vincent Mo: The people are more interested in the money. You are right we did have a challenging year, a last year 2012 comparing to 2011 the CapEx was kind of stag relating there a year ago, we paid a special attention to that. And since for the whole last year and tier throughout the quarter one this year to quarter two this year we have seen our traffic rebounded more than 20% so that’s something in today’s board meeting I have told in the board that we are quite on track although not that much satisfied yet but we are quite on track. Especially our mobile traffic, it’s like a our listing services for our research market the mobile traffic has jumped a lot in quarter one especially after Chinese new year, up to recently to the end of April our mobile traffic has been contributing close to 20% of our total traffic. So it’s close 600,000 unique visitors per day so which has jumped very rapidly very recently. So we are putting into more efforts in driving up our overall traffic especially our mobile traffic so that’s I think is going to support our growth of our revenues in the longer run, that’s where it’s important. That’s also one of the directions I have mentioned in our expansion strategy into the future of 5 to 10 years so we are going to invest heavily into our technology platform to drive up our traffic including the PC-end traffic and also the mobile-end traffic.
Gregory Joe - Citigroup: And my last question is also about the SouFun Card. I want to understand more about the procedure if (inaudible) customer onto buy your card I think some of the customers may come from your website homepage. And I think may be about half of the customers are just randomly walking in to property site and it sounds that SouFun is promoting the discount card, so can you share with us some colors like the percentage; how much people from our online and how much have; working in a randomly by the clock?
Hong Zhao: I think that is a good question; it's a very detailed question you had. I think generally, our deals with the dealers are very exclusive. So typically when we; we don’t really differentiate who is spotted on a website and who end up showing up on the site. Despite technically very difficult to differentiate that; but we do have other; I mean because of the exclusiveness, so as far as we meet in the quarter, all the traffic, foot traffic through the sides will be counted towards our E-commerce business, that's just our general factors in the business and Vincent can actually add little bit more color to it.
Vincent Mo: Yes, we do not have that quantity percentage exacted in a percentage there. As (inaudible) said, one thing we are quite sure is that majority of the members comes from the websites. Even those; you may just have bump in to the sales office; they're still eventually going to end with our website; let's get back to the website to look for information; to look for more; in a more progresses of the project. So, we are here with developers, we ask them for exclusive arrangement whether they come from the developers, the (inaudible) or whether they come from SouFun’s website. So, eventually all of them that we will go through a website but at the beginning there may be some people; they just bump into the office, just punch the office, they sign out without signing, then come back to the website but the percentage is not high. 
Gregory Joe - Citigroup:  So, for example, we have a representative table in the; for some people to log in and register, right?
Vincent Mo: Yes, because we expect that our members will go through the sales office because that means it's serious for them and to sign out with our people there. Rather they can also come to our office to find out that but most of members they would rather go to the sales office to find out because they can see the project on site.
Operator: And we have next question from the line of Tian Hou from TH Capital. Please go ahead.
Tian Hou - TH Capital: Vincent just one full of question regarding the marketing service and e-commerce service, are you going to continue to see the shifting from the budget wise from the marketing service to e-commerce service going forward.
Vincent Mo : Well, we’re not shifting from marketing services to e-commerce in business. E-commerce business is a new business line in our services, so we’re going to enhance strengthen our marketing services rather than shifting from marketing service to e-commerce, so that said we’re going to enhance both of our marketing service and our e-commerce services.
Tian Hou - TH Capital: For the e-commerce revenue, do you have any split arrangement with your exclusive partner?
Vincent Mo : Definitely yes, we work with our partners and we do promoting for them and we’ve got a special discount from our developer partners, so that’s how we did that, how are we handling our e-commerce business.
Tian Hou - TH Capital: So the revenue you recorded the income statement is before the split or after split?
Vincent Mo : We don’t have a splint and we just collect money from our members, we do not recognize revenue before the transaction. We only recognize the revenue after they signed a definite agreement with developers with the seller.
Operator: (Operator Instructions).
Vincent Mo : Operator, do you have any more questions?
Operator: Yes, there are no further questions at this time. Please go ahead.
Vincent Mo : Well, that’s the case I think concludes our first quarter earnings call and I want to thank you everybody for taking the time and spending time with us good questions and we hope to see you next quarter thank you. 